Operator: Good day, and welcome to the Cogeco, Inc., and Cogeco Communications, Inc., Q4 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer of Cogeco, Inc., and Cogeco Communications, Inc. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you. Good morning, everybody, and welcome to our fourth quarter conference call. Joining me today are Louis Audet, Rene Guimond, Andree Pinard, Pierre Maheux and Philippe Bonin. So before we begin this call, I would like to remind listeners that the call is subject to forward-looking statements, which can be found in our press releases issued yesterday. And I will now turn the conversation to Louis Audet before we proceed with the questions-and-answers period.
Louis Audet: Thank you, Patrice, and good morning, ladies and gentlemen, and thank you for joining us today to discuss the results of Cogeco Communications, Inc., and Cogeco, Inc., for our fourth quarter and year end of fiscal 2016 as of August 31. Performance has been generally good, with some disappointment at the level of Cogeco Peer 1, causing us to underperform for the year and, more specifically, for the quarter. Let us begin with Cogeco Communications. Revenue was up 4.5% in the quarter, to reach CAD544 million, and 6.5% for the year, reaching CAD2 billion. EBITDA is up 3% in the quarter, to reach CAD248 million, and 5.7% for the year, reaching CAD983 million. We continue to work on improving the results of Cogeco Peer 1 in fiscal 2017. We have had to revise our guidance for fiscal 2017 because of the third-party Internet access interim rate decision by the CRTC and because of the slower pickup at Cogeco Peer 1. Our quarterly dividend has been raised 10.3% to CAD0.43 per share per quarter. Let us now look at the individual components of Cogeco Communications. At Cogeco Connexion, our cable subsidiary in Canada, we generated low single digit in revenues and EBITDA in fiscal 2016, and expect to do so in the coming year. We saw encouraging customer metrics, as I'm sure you will have seen in the fourth quarter, and continued reduction in customer losses for the year compared to prior years. At Atlantic Broadband, our cable company in the United States, revenue and EBITDA growth continue to be strong. Business sales in the year-old acquired Connecticut system have contributed, along with all of our other KABB systems, which have also performed well. PSU metrics continue to be stronger. A slight weakness in video customers is due to the non-renewal of a few non-profitable bulk contracts. At Cogeco Peer 1, we've suffered another quarter of decline. While the turnaround plan is slow in materializing, we believe in this business and we focus on improving it. We expect meaningful free cash flow in fiscal 2017 at Cogeco Peer 1. Turning now to Cogeco, Inc., we continue to register excellent audience ratings in our radio stations. Revenue is up 3.2%, to CAD572 million for the fourth quarter, and up 5.5%, to CAD2.3 billion, for the fiscal year. EBITDA is up 5.6%, to CAD258 million, for the fourth quarter and up 6.7%, to CAD1 billion, for the fiscal year. Further, to the sale of our outdoor advertising division, Cogeco Metromedia, on January 5, 2016, we are now exclusively focused on radio at Cogeco Media. And our guidance has been revised to reflect the adjustments we just spoke about downstream at Cogeco Communications. In conclusion, we’re focused on generating good results through the introduction of new products, enhanced marketing and operational productivity, as well as pursuing our turnaround at Cogeco Peer 1. We continue to seek opportunistic cable acquisitions in the United States, where we are enjoying good success. We are now happy to answer your questions.
Operator: [Operator Instructions]. There are no questions at this time. Please continue.
Patrice Ouimet: Okay. Well, it seems like it's going to be a short call today. I know there were several calls, unfortunately, at the same time today. So we thank everyone for participating in today's call. We remain available, obviously, for further questions and answers later on. And we look forward to talking to you in January for our first quarter results of the New Year. Thank you.
Louis Audet: Thank you very much, and have a great day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.